Johan Svanstrom: All right. Now we officially start. So good morning, and welcome to the presentation of Rightmove's Results for 2025. I'm joined today by Rory Hook, our CFO, sitting here, who'll be here in a second. First, a couple of takeaways. Our 2025 performance showed strong continued delivery in a competitive market, and we will step up the pace further in '26. We continue to deliver compelling value from and across our platform to both core and other partners. We have a very strong position with consumers, partners and our data. And with our AI capability, we're enhancing all of that even further. We continue to deliver our proposition. We're executing our strategy. We're excited about all future opportunities to further digitize the U.K. property sector. Now we delivered some really strong KPIs for last year. Revenue growth of 9% was supported by ARPA and membership increases in the core business as well as contribution from growth in our strategic growth areas. Underlying operating profit growth of 9% reflects our revenue growth and ongoing investments in people, technology and product delivery. Underlying EPS grew by 11%, and we increased capital returned by 21%. And finally, time on site at 16.8 billion minutes was the second highest on record, only beaten by the COVID exceptional burst in '21. Said differently, the equivalent of 32,000 years of time was spent on Rightmove platform last year. We made some strong operational progress as well right across the platform last year. So from the left, over 85% of that large audience came through direct and organic traffic and we grew our app users by strong 11%. We continue to evolve to meet consumers wherever they are and we doubled their engagement numbers in social media channels. We saw a strong penetration of our top packages in Estate Agency and New Homes as well as a very fast start for our latest and market unique Estate Agency own product, Online Agent Valuation. Our Agency retention was the second highest in over 10 years, and third-party surveys showed record positive sentiment scores for Rightmove. We continued our strategic and operational progress and growth in the strategic growth areas. And all of this was delivered through Rightmove's platform and leading data. We did over 6,000 tech releases. And after a multiyear build, we now have 31 live strategic AI projects at year-end. It's an increase of 4 on our November update, and we tripled the number of data models used to process our proprietary data in the platform. This strong stance is down to purposeful work and investments over the most recent years and has a strong trajectory for future product delivery. And finally, on people, we have a world-class, engaged and energized team. 89% of our team described Rightmove as a great place to work. So my sincere thanks to all hard and smart working Rightmovers for delivering our results of last year. It is a competitive market out there, but our position is stable and it's strong. And that's because we keep delivering great value for both consumers and partners. We remain the leading place for consumers looking to make a move in U.K. property. And while facing various competitive dynamics, over time, we have, for years, averaged over 70% share of portal time on similar web and over 80% on Comscore. In December '25, we were at 75% and 89%, respectively. And that love and trust from consumers drives frequency, leads and, of course, a lot of data signals. And those enable us to drive strong outcomes and value for our over 19,000 U.K. estate agents and New Homes partners. Now I want to touch on that value point a bit. We operate in a competitive market, and we always gauge how we can do even better. So we commissioned third-party surveys quarterly with over 1,600 independent agents contributing responses. The top left chart here shows that the total positive sentiment scores from those surveys. These are -- there are 2 big takeaways. One, just in absolute terms, we've seen a positive trend and a new record high actually by the end of last year. Market conditions and general sentiment out there often impact survey responses. So in the context of the weaker Q4 in the property market through the U.K. budget hesitance, that's actually an excellent result. And two, in relative terms, you can see a 1.7x differential between Rightmove and the main portal competitors. Now we ask for feedback at branch frontline, branch management level and company management levels, and we also go deep on several subcategories. You can see that we lead across subcategories across business results, value and inclusive services at the bottom of this chart. So we rate really well in what's a competitive market, yet we, of course, always look for opportunities to improve and for all partners. Part of the value and those strong scores come from our Building Success Together program, which we launched in early 2024. We invest resource in supporting our partners' business objectives. We also help them to understand what happens in the market and where Rightmove can bring. And as noted top right, this comes in many forms and at true scale. Dedicated account management in the field, our Rightmove Plus and Rightmove Hub tools, which are both available to all partners regardless of package levels. We're sponsoring and collaborating with several leading industry organizations across the Estate Agency, New Homes and Rental operators. We continue to invest in and progress these 2. Rightmove Plus, as an example, is the business management tool for partners. Last year alone, had new features and enhancements introduced over 25x. And our partners' engagement value from Rightmove Plus is clear, 28 million sessions recorded in the year. So in summary, we deliver Rightmove outcomes and value from a broad range of solutions, packages, products, data, insight, training, dedicated servicing through our account management and support teams and we measure these results. Now let's move to the property end markets for a bit. Within sales, top left here, it was really a year or 2 halves. H1 was strong, building on 2024 and with successive Bank of England rate cuts. H2 was weaker year-on-year due to the fears around the late autumn budget. If you take them together, 2025 as a whole, so 10% more completions versus '24, and that was in line with long-term averages. Looking at the year ahead, top right, there's been a clear post-budget bounce back in available stock, which is now at a 10-year high. This has caused slower price growth, which is, of course, supportive for buyers in the market. Now these elevated levels of resale stock is less helpful for New Homes developers. So on the bottom right here shows New Homes as a proportion of total for sale stock on our site. And with approved planning applications at an all-time low, we don't expect a material recovery of the development numbers in the market in H1 this year. With the rentals, bottom left, increased supply and reduced demand continues to improve the more extreme imbalance seen in previous years and which we have talked about. So the 2025 average of 10 inquires per available property is still above the pre-COVID average of 6 to 7 though. And of course, all these segments, of course, mortgage rates is a key driver, and it continues on a steady downward trajectory. At the 31st of January, the average 5-year fixed rate was 4.35%, that's 55 bps lower than a year earlier, and that's per Rightmove's daily mortgage tracker. So with that, let me pass over to Rory for more detail on our financials.
Ruaridh Hook: Thank you, Johan. Good morning, everyone. I'm delighted to present our financial results for 2025. Overall revenue grew 9% compared to 2024 with strong growth across the business. Starting with Agency, Row 1 in the table, revenues increased by 9% to GBP 305 million. If you look at the chart on the right, the light blue bars showed that this growth was driven primarily by ARPA-led games, which continue to be mainly discretionary. An additional contribution of GBP 6 million came from increased Agency membership numbers. And moving down the table to New Homes, revenues here also rose 9% to GBP 75 million. This was in spite of continued headwinds in the New Homes end market with new builds coming to the market remaining subdued. You can see the impact of this in the chart with the dark green showing revenue growth contribution of less than GBP 1 million from higher average membership increasing by 1%. The ARPA growth contribution remained strong, contributing GBP 5 million. At the bottom of the table, our strategic growth areas delivered another strong performance. Revenue increased by GBP 5.7 million, up 25% to GBP 29.1 million. Commercial revenues grew 13% to GBP 15.3 million as we continue to focus on customer acquisition with membership increasing 29% year-on-year. Mortgages revenue was up almost 50% to GBP 6.8 million. This was weighted towards the first half of the year, mainly reflecting the timing of interest rate changes and hesitancy in the property market around the budget, impacting activity in H2. Rental Services made up of our Lead to Keys product, referencing ancillary services, saw revenues up 35%, driven by strong growth across the Lead to Keys product. For completeness, the non-SG&A parts of other revenues being data services, overseas and third-party advertising grew 2% year-on-year. Revenues outside the core represented 11% of group revenue, up from 10% last year. Compared to December 2024 across Agency and New Homes, membership increased by 225, up 1% to 19,272. This increase was due to growth in Agency membership, which increased by 261, up 2% on December 2024. This was due to high Agency retention of 90%, continued growth in Agent formation as well as current partners opening new branches. Within New Homes, we saw a year-on-year decline of 36 developments, down 1% at year-end. You can see in the bottom right chart, a decrease of traditional developments in orange of 113, offset by an increase in housing associations in teal of 77. New developments coming on site remain low. We are not seeing a pickup in build rates and have seen traditional developments fall to their lowest level since January 2018. We do not see this changing in H1, but continue to be optimistic that developers will be encouraged to build more by H2 and in future years. Overall ARPA increased by GBP 97 to GBP 1,621. 60% of ARPA growth was product-led with similar percentage in both Agency and New Homes as our partners chose to upgrade or purchase incremental product. The remaining 40% of ARPA growth came from contract renewals, which all proceeded as expected. Given partner engagement with our strong suite of value-adding products, we expect a similar split this year. In terms of product ARPA growth, we saw upgrades in Agency come from multiple sources, ranging from upgrades through the package ladder from lower threshold packages to new joiners joining straight into the top package. You can see this in the pie chart for Optimiser Edge joiners in the middle of this slide. The migration of the old top package, Optimiser 2020, has gone well and will be fully retired by H1. Joiners in New Homes to the advanced package, shown top right, similarly came from upgrades and new joiners. We had a new top package, Ascend, launched in May with 818, 28% of developments live at the end of the year. We expect a similar split of upgrades going straight into this top package, but flagged that the advanced package remains highly attractive, especially for smaller developers. So expect to still see good inbound into advance next year. Taking these 2 pie charts together, you can see that key for both New Homes and Agency is that we do not rely on a single source of joiners to the top package and expect penetration to continue to increase in both. The other driver of ARPA growth comes from incremental product purchase. You can see from the charts at the bottom for both Estate Agency and New Homes. ARPA increases at the initial upgrade in month 1. This is the column marked upgrade. Then we see ARPA increase across the first year and the second year. In both Estate Agency and New Homes, you can see that ARPA keeps growing far past the initial upgrade. This happens as partners choose to purchase more of the same products or add additional products to their package mix. We have shown the previous top package in Agency Optimiser 2020 and in New Homes Advance to illustrate how we have seen this before. And that the initial months of the new top packages in both Agency and New Homes are performing as we expect and have seen previously. We know that continuing to provide great value and superior outcomes to our partners through continually evolving and new products sees them choose to engage further. Also, at the end of last year, we added online agent valuation exclusive to optimize our Edge partners and with an average price of GBP 170, providing both another reason to upgrade to the top package and also encouraging existing partners to increase their current product spend. Moving on to costs. Underlying operating costs increased by GBP 11 million year-on-year, resulting in a 70% underlying margin as we invested with discipline and within our cost framework. The main driver of costs remains our investment in people, up GBP 4.6 million or 7%. The other main cost component was our continued investment across technology with an increase of GBP 4 million. In the year, there was GBP 9 million of internal labor capitalization with total CapEx at GBP 10 million. As guided in November, we expect to see an increase in labor capitalization in 2026 with total CapEx to be around GBP 16 million, less than 4% of revenue. In 2026, we will see investment as outlined last November, which will mainly be in people. We anticipate over 100 joining before the end of the year in roles across data, product and engineering. A few of these roles will be through our new flexible resource provider, which will provide us with the flexibility of headcount over the investment phase. Other material increase in cost will be the AI-powered operations area with work on the back office initial phase already commencing. All in, post capitalization, this incremental investment is expected to total around GBP 12 million in 2026 as guided in November. We remain highly cash generative with a cash conversion ratio of 107% of operating profit. As we continue to grow the strong cash generation of our business, this leaves us well placed to return surplus cash to shareholders. This year, a total of GBP 220 million was returned to shareholders, GBP 141 million via share buybacks and GBP 79 million via dividends, an increase of 21% year-on-year. We reduced our share count by 2%, meaning over 40% of issued shares have now been repurchased and returned 6% of our year-end market capitalization in the year. This morning, we announced a final dividend of 6.59p, bringing the total dividend to 10.64p. There will also be a share buyback program of GBP 90 million until the 31st of July. This will be funded by the growth in earnings, but also reducing cash reserves from December's GBP 43 million to around GBP 20 million by half year, which we see as sufficient to manage the working capital of the business going forward. Our capital allocation policy remains prioritize investment in the business, evaluate value-accretive M&A and return all surplus cash to shareholders via a progressive dividend linked to earnings and buyback thereafter. Turning to financial guidance. This remains the same as set out in November. Looking at the right hand of this slide, revenue growth in 2026 will be between 8% and 10%. We expect H1 growth to be lower than the full year 2026 growth with a higher growth percentage in H2. This is due to the high comparator in H1 last year, particularly in Mortgages, which saw significant activity in H1 2025 due to the stamp duty changes and falling interest rates. And in New Homes due to the full year impact of 36 developments, fewer developments, contributing a negative revenue comparator of around GBP 1.5 million. For Core, we anticipate that membership will grow around 1% and we lifted ARPA growth to between GBP 110 to GBP 120. At an overall level, for the SGAs, we anticipate growth to be around 20% to 30% range. Underlying operating profit will grow by 3% to 5%, resulting in an underlying operating margin no lower than 67%. With no change to our longer-term target set out in November, we anticipate underlying operating profit growth in later years to be at similar levels to revenue growth as we still see no reason for a margin lower than 67%. That concludes the financials. I'll now hand you back to Johan.
Johan Svanstrom: All right. Thank you, Rory. So our investment case outlined here will be familiar to most and this summarizes our approach to value creation at Rightmove. On the left, Rightmove has exceptionally strong foundations. We have established a differentiated leading platform at the heart of the U.K.'s large and structurally growing property market. The platform is digital, low-cost, capital-light, driving higher returns on capital. The subscription-based B2B model has a proven ability to deliver and generate value in all market conditions. Moving to the middle of the diagram. We're using powerful data and profound network effects to deliver that value to all stakeholders. And with it, we're executing an expanded growth strategy with targeted investment and delivering data and AI-backed product innovation and that is done through a high-caliber and very energized team. We're entering now our 27th year with confidence to deliver a larger, diversified, yet very connected Rightmove platform. All said, this will continue to deliver compelling financial outcomes. Now our strategy is to develop the leading digital ecosystem for the whole moving experience, powered by exceptional data and network effects. And our people, data and platform really are the foundations and strong differentiators for the 3 business pillars of Core Partner, Consumer and New Growth. The property market is a huge economic activity, and we think there's a long runway to deliver more digital value and grow our business. And that, of course, includes the use of AI. Now there's been a lot of debate who the winners and losers might be, both for classifieds and more recently across a range of industries, really. So I want to talk to property classified specifically. In my view, there are really 4 components you need to win to compete effectively also in an AI world, consumers, partners, data and AI capability. We're really well positioned across all of these. We were well positioned before gen AI, and we will be with the next generations of AI as well. And here's why. We're a technology company. We built up market leadership through deep knowledge, digital leadership and deep layers of servicing our industry in the first 3 of these 4 components and that's been done over 25 years and at an increasing pace. We keep doing that day in, day out, improving all the time. The numbers are leading and they're deep. Now the most recent components of these 4 is, of course, AI capability. AI models and tools, they're fast developing, it's dynamic and they're not fully defined yet. Here's the thing, though. Anybody can get a hold of AI capability. It's an enabling technology that you can buy, skills you can hire and that you can learn to operate. We've done exactly that and for several years already. So what Rightmove has? It's a very, very solid performance and performance platform and business model. It's creating the fundamental attributes that are mentioned here, important to any business success. And in turn, they all boil down to 2 things, which, again, deliver true business results and sustained leadership, trust and vertical innovation. Now we obviously thought a lot about this. In our view, in the case of property classifieds is that LLMs or start-ups running on LLMs are missing or are quite far away on 3 of these 4 components that matters so much in this particular vertical. ChatGPT has been around now for 3 years, yet referral traffic to us is still under 0.5%. And actually, their U.K. app downloads and traffic has leveled off in the last 5 or so months. But more so, I don't think they or other horizontal LLMs can or want to service our vertical as deeply and focused as we and others do, nor to innovate as relentlessly and deep in the specialty of it. Now I'll be very open-eyed and give the large LLMs the upper hand of AI capability and AI innovation overall. But remember, again, they actually enable and sell that capability to buyers like ourselves. So as we add this AI capability to Rightmove, we combine it with the first 3 components that we already have and that are so strong. We're in the best place of anybody to innovate and service this vertical in new and even better ways. I'm actually going to go and cover these 4 components in a bit more detail because it's so important and so topical. Let's start with consumer and partner. You're familiar with network effects and how they're part of a great business like Rightmove and how we invest in them. But I think it's very important to understand that in case of home exchanges, there are 3 special aspects of these network effects, which make them even stronger for property classifieds and certainly in the U.K. So first, in the middle, property transactions, they're high value, highly personal, take a particularly long time in this country and they're very often done in joint deliberation with another person. There's also an incredible amount of browsing done on properties because of 2 things: homes, they're fun to dream of or to be inspired by; and also becomes -- because finding the right one and really deciding when it's time to move is such a serious and important life decision that comes at a high price. So the habit loops are therefore massive. This is very different from a number of B2C categories like e-commerce or research of different kinds, where AI or agents can provide an alternative and shortcut path. And secondly, to the left here, the same consumer actually plays multiple roles, to consider the 4 key roles who use Rightmove and their multiple use. Very often, a buyer is also a seller, and the seller is also a buyer. In the same chain of events or at different points in life. There are 2.5 million private landlords in the U.K. renting to tenants. And those landlords, of course, themselves live and move. There are parents who help their kids with a rental or a first-time purchase, while they themselves might be downsizing or buying a second home. So here's the point. The individual gets value from the same property platform for many different needs. They've seen it in the past. They know what the quality is and they are being in different roles. So the platform is trusted. It's specialized. It has all these different audience roles. So in a way, this forms like a consumer side, individualized network effect in itself, not just across to the other side of the platform. And again, that's very different to, for example, e-commerce and other verticals where the consumer might only be a buyer. And thirdly, of course, in the U.K. property vertical, there's a diverse nature of our partner base, the Estate Agents, New Homes developments, developers, rental operators, commercial and smaller niches. And even in a single branch, an Estate Agency, you can have sales, lettings, commercial, potential financial services, a business owner and branch staff. The U.K. partner is very fragmented and with low barriers to entry. There are many, many different roles that benefit from being on the platform. Agents are local property experts and they can access a highly effective audience platform and with a lot of services included to power their business goals. So in our view, when you combine these 3 points, property complexity, consumer multiuse and agent diversity, you realize that the trusted and vertically specialized UX of the portal will not be replaced by generic or horizontal AI interfaces. Now let's talk about the fourth component, AI capability. We've been building a great tech and data AI capability for a few years now as we reported on several times since 2023. And the simplified, and I know it's simplified tech stack view on the left here, outlines how our Core platform is built on Google Cloud with logically connected enterprise tools like Big Query, Looker, Model Armor, Vertex AI and so forth and is running AI models from Google, like Gemini, Nano Banana and so forth. Now we have a close strategic and product team collaboration also with Google. And we are actually working together, and we have a good view on what's coming in the future. Now we have orchestrated the platform, the stack, the pipelines to nevertheless be flexible, performant and trustworthy. So we have relationships with and we also use Microsoft, OpenAI, Anthropic and a host of smaller solutions. Some of those smaller ones are pure-play AI, some of the more AI-enabled existing software. Our data science team, they can build and connect proprietary Rightmove data models or external models or a combination of them. In November, we showed you one example of the proprietary model and how it uplifts the results, something that is only possible for us because we're in the stack. At the end, the stack enables us to deliver more value and differentiated outcomes for partners and consumers and, of course, gain operational leverage and productivity for ourselves. The 31 strategic initiatives plus a whole host of many more AI tests across the business today will soon be less of a number counting exercise and rather it's going to be completely infused in an organic way of operating. We're perfectly set up to leverage AI capabilities. Now I'll come back to very crucial component, data. We estimate that over 90% of our data is proprietary. It's also interconnected and we leverage it with human expertise and usage in mind. This data is not available anywhere else and it keeps compounding inside our ecosystem. We've shown you many examples of large data sets in the past. Here, just outlining a few examples, but to illustrate how unique and valuable this data is. For property, as an example, we have over 28 million unique properties on our Rightmove optimized UPRN address framework. And someone might say, "Well, that's all scrabble, isn't it?" Fact is that over 50% of the metadata underpinning a Rightmove listing is not scrapable from the face of our site. And for partners, we have, for example, built 57,000 defined geographic agent patches. We dynamically optimize them with our data and also with input and tailoring from our partner agents. That drive unique insights, products and great outcomes. For consumers, for example, again, the 69 billion first-party signals, they don't only provide that strong habit loop that I mentioned before, but they, of course, convert to outcomes through moving auction strength of buyers and sellers. Again, they also drive unique products, insights and recommendations and provide fodder for what we develop next. And the real magic and protection is how those and many more data points are interconnected in the platform. There are a few more examples in the middle, the data compounds and the fortifies. And finally, in the third column, but not to be forgotten, we overlay our human expertise to enrich this data being completely vertically focused. We also make sure it delivers real outcomes and value for humans that is using the data. All said, we hold the living map of U.K. property moving. The value is not in AI itself. It's what AI can deliver when it sits on the best property data in the U.K. So to sum it all up, we combine these 4 components. What we have is one connected ecosystem already powered by data and it's enhanced by AI. All right. So over to some of the concrete product delivery that drove the 2025 results and a bit of a glimpse towards '26 and onwards as well. We increased the pace of delivery in '25 with only a few of the features illustrated here. And I'm going to talk to the renters checklist on the left. It's an important example because it's part of our rental market solutions to digitally enable more of the moving journey. We've seen some strong growth metrics in 2025. A few of them are noted here. And with this renters checklist for consumers, we put all the tenancy admin in one place on My Rightmove, seamlessly integrating it with things like open banking and verifications and what to do next. The average user revisited their checklist 8 times. The information is stored in their Rightmove account, so it can be reused. That, of course, builds a lifetime value opportunity for us. And like many other products, this product also helps the other side of the platform, in this case, lettings agencies. They benefit from operational efficiency through the enhanced leads and seamlessly have those in their CRM. Now they can also operate the entire flow digitally in the Rightmove Plus environment from referencing deposits and many more things, all the way to contracts. A quick step back to the outline from November of how we're accelerating the consumer demand going forward. Number one is that we are adding and enhancing ways of searching. Number two is that we're accelerating our services in a consumer home-moving journey, what we call Beyond Find (sic) [ Go beyond Find ]. And here, I've got 2 examples of what we're working on. The Move Journey Assistant set up for sales and the expansion of My Rightmove into My Home, a full-service hub for homeowners. Now across the consumer domain, we have around 25 key releases or so planned for 2026. And for context, that's more than the entire platform consumer and partner sites together delivered in 2023. Now I want to expand a bit on conversational search, no surprise, which we launched only a few weeks ago to a limited amount of traffic. So here's just a demo of what it looks like. I'm going to talk over while you follow this. So this experience and features built through our partnership with Google Cloud it's using Gemini models. It's trained on and interrogates our listings, text and images and we use over 1 billion proprietary image database and many attributes that goes into the listings. As of today, it links straight into listings on the main site. And we'll evolve this tool led by the data that we see and our design expertise and we're going to make sure that we deliver a high-quality experience. Data so far from thousands of conversations tells us that users seem to have a pretty good idea of what they're looking for. They continue to explore and engage with tools in the main flow of listings and on the site. And so far, those who engage with conversational search are almost 3x more likely to send a lead versus the control group. Overall, feedback has been very positive. Now I want to consider a little bit the conversational assistance in searching a bit more strategically. Now first, on the left here, this is really, in many ways, it's just a continuum of changes. However, you discover, we have you covered, right? So we're entering another search modality or paradigm for consumers, and our position is the same as it has been with previous changes. Discovery is key, right? The classic behavior of visual scrolling and comparing properties, I believe, will always be there. But longer term, I also think this holds a real amplification opportunity for Rightmove. Conversational search will enable hyper-personalization and new utility for consumers on our platform that I couldn't get before. So AI assistance will be useful up and down the funnel and seamlessly provide complementary information along a complex moving journey on the platform. This will drive 2 things: higher platform engagement; and substantially more intent and behavioral data signals. And we can convert that data signal to increased value and targeting for Core partners and for diversified revenue opportunities, just like we have done in the past. Now we have already started a few years back to build many more of these consumer features with exactly that in mind. And you can see some of this in the graph and in the table metrics here. Impressive growth, and a lot of that comes from well-defined features and, of course, the scale of the audience and traffic that we can apply them to. Every feature we built is research and data-backed. It brings utility, frequency and data to us on an ongoing basis. And with it, as noted right here, we create enhanced partner value and, of course, revenue opportunity for Rightmove. Some of these improve or enable new products for Core partners. For example, the enhanced lease to lettings agents with the appointment bookings with the New Homes Ascend package. Others are monetized separate through commercial relationships that we have, like, for example, mortgages or ancillary lettings products. And here's the thing, as we scale and compound this data, we just increased the revenue and profit opportunities. Now over to the partner side. We released significantly more product and optimization source of partners in '25. A few key ones are set out in this slide. And I want to highlight online agent valuation on the left, as Rory mentioned before. It's soft launched in the fall and it's off to a great start. This tool works on both sides of the platform. It enables consumers to receive a digital valuation estimate from an Estate Agency with a quick turnaround and it's an opportunity for agents to start a new online relationship with a potential vendor through our platform. It leverages and reinforces our existing valuation domain on various tools, slotting in very logically with instant valuation, local valuation alerts, best price and premium price guides and so forth. And agents, in this case, can also choose to use an AI tool to support the responses in OAV. And for those that do, we have seen so far in the data that the response times are 16% faster on average, and the cohort actually books 20% more visits. So OAV, I think, is a good example of where AI is an enhancer of an already great digital product with real value. But AI is not the entire product itself. Finally, with OAV, Rightmove's platform also gets more data signals through up-to-date photos and property attributes supplied by the consumer. And this is before the property becomes a listing gets put on the market. That, of course, can feed into our AVM, which is a business line on its own and also powers many other things internally that we can build on for the future. Both '25 and '26 show how we are developing across several product lines and segments much more in parallel than in the past. And with AI bringing more efficiency and marketing opportunity to partners. Moving on from Core to the strategic growth areas. These grew, as you heard from Rory, by 25% as a group and that's close to 3x the Core growth rate. Operationally, we've taken some great strides forward in the year. For commercial, we added 275 new members to the platform. This year, we will launch our new search pages. And at that point, every aspect of the user web journey will have been completely overhauled to commercial-first experience. We'll also be launching our first chargeable product in the segment during the year. In Rental Services, revenues grew by 35%. And as we set out in November, we started to roll out the upfront modules of inquiry manager and enhanced leads to dual agents within their Core subscription. It's a process that is ongoing over '26. This is an exciting market penetration step-up. It brings efficiency to agents, to landlords and to tenant applicants and it's a true market scale. And in Mortgages, we saw strong growth overall. You will have seen that we announced a new exciting partnership with NatWest, the U.K.'s leading digital mortgage lender, which will be introduced in April across both sites and our apps, and we'll also continue to build out the broker opportunities over the course of this year. And finally, again, and importantly, a reminder, the SGAs all strategically reinforced the Core platform, drives user utility and frequency, and again, thus the great data sets that we have. Now this slide is a reminder of the 3 focus areas that we described in November. We are positively stepping up the pace with an eye to the medium-term opportunity of a more diversified and technically advanced platform. We're driving towards that larger digital opportunity in the U.K. property ecosystem. Now also as a reminder, we set some really ambitious midterm target KPIs for these initiatives. And I'm glad to report that all of this is mobilized in one way or another and the capabilities will be built and realized throughout 2026. We're going to see results along the way. One example, of course, being the successful launch of conversational search already in the very beginning of the year. So we'll come back to these areas and the KPIs over time. And I hope you can see that we drive this business with discipline, high quality and our goal is to deliver strong value and returns. So in conclusion, here are the key takeaways I showed you at the start of the presentation, and I want to repeat them. We're happy with the strong results in '25. It was a record year for innovation for Rightmove. We look forward to an exciting 2026. And as you can see in the graph, we're stepping up our innovation and delivery considerably yet again. We will grow revenue and profit in line with guidance, adding to strong financial returns in both the short and medium term. And with that, we're going to go to Q&A.
Johan Svanstrom: So Rory is going to join me up here. Please raise your hands. Yes, some already did. Say your name when you're passed a microphone and let's aim for 2 questions in the first instance. We can double back if it's fine.
Jessica Pok: Jessica Pok from Peel Hunt. I've 2 questions, please. The first one, just on the ARPA guide, Rory, GBP 110 to GBP 120. Can you give us an idea of how we should think about that Agent versus New Homes given the trends that we've seen last year? And then the second one, maybe on Mortgages. The new relationship with NatWest, any color on what triggered the change and what we can expect from that relationship in the near term?
Ruaridh Hook: So on ARPA guidance, GBP 110 to GBP 120 is the blended ARPA guidance. Expect Estate Agency to be towards the bottom end of that and New Homes well above the blended rate. I would flag that in both EA and New Homes, we expect their ARPA growth to be higher than they saw in 2025.
Johan Svanstrom: All right. And on NatWest, yes, we're very excited about entering a new partnership here. We've had a great partnership with our other partner for the last couple of years. NatWest is really the #1 mortgage lender in digital channels. So that tells you, I think, something about the vision alignment that we have. We continue to work deeply with one partner because we're quite keen to both build the business, of course, give more -- consumers more utility on the platform, but really also try to innovate along the way in this industry, which is still very fragmented and analogous and off-line and so forth. So those are really the few simple reasons behind it.
William Packer: It's Will Packer from BNP Paribas. A couple of questions. Firstly, could we talk a little bit about agent relations? So from today's update, the survey data looks very encouraging, although I know we didn't see the absolute numbers, but that would be interesting. Retention is at record levels. You've got new agent additions. But then in contrast, if you read the trade press, it all sounds a bit grim. You've got the court case coming. And I think there's a perception that your relations with your customers are more adversarial versus some of your peers globally. How do we square that circle? Is it -- there's a few loud adversarial agents, but the median agent is getting happier. Can you just give us a bit of color there? And then secondly, your framing around the labor intensity of Rightmove is a little bit different to some of your peers within classifieds and other platform businesses. You're growing headcount aggressively. It sounds like that's going to continue for a little while. Could you frame that for us? Is that catch-up investment because the previous management team didn't hire enough people? When can we see the labor force to stabilize? Any color there would be useful.
Ruaridh Hook: I'll take. You can jump in. Look, the first one, you mentioned some of those KPIs, which I think stand out, right? High -- second highest retention in a decade, highest take-up of our new product, OAV. We had record uptake of Optimiser Edge. That shows customers are engaging with our products and really happy with the outcomes. That, for us, is a real sign of strength in terms of relationship we have with customers, of which over 80% are now with us for 5 years. They know us well. They know our products well and we work with them to grow their businesses. You're always going to have a small minority, might be louder than the majority, but I would say that those KPIs, what we look at to show the strength of our products and the value that we provide our customers. We also, as we showed today, do monitor sentiment and we're delighted to see that sentiment not only much higher than competitors, but growing. So we don't rest on our laurels. We take it very seriously, and we keep our finger to the pulse in terms of how agents are feeling. And we support them as the property market ebbs and flows. And ultimately, for us, key coming back to providing those great products, and I think that take-up really shows it. In terms of the labor intensity, yes, we're adding over 100 and those 100 people are going to be building some fantastic products and fantastic assets. They're going to make Rightmove stronger and on our path to higher growth. That, for us, is a short-term investment. It's going to allow us to build many of the things that will enable us across the domains that Johan talked about. And we've provided a flexible resourcing partner as well to help us accelerate or pull back in that recruitment as we see fit. For us, this is about driving higher profit growth. And this is about us building things that we're really excited about that we see great ROIs from and that requires some head count in the short term. But what you will see and what we look forward to bringing to you on a regular cadence is some of the really exciting products that they're going to build.
William Larwood: Will Larwood from Berenberg. Firstly, just obviously integrating a lot more AI functionality going forward, consumer with like conversational search, et cetera. How can we expect sort of the cost profile of the business to shift particularly thinking about sort of using more compute going forward? And then secondly, you mentioned it very briefly in terms of the mortgage broker side of things, but if you could provide an update on that, that would be great.
Johan Svanstrom: Yes. Yes, I'll start with AI. So look, we obviously anticipate and budget for compute cost that didn't exist in the past because of this. But I think there are a couple of important things to remember, a, again, back to that slide of how we set things up. We set it up in a very organized, very orchestrated away, and we have fantastic control over this just like we have on other costs. Here's the thing. It's a cost to deliver opportunity, right? And if you look at token cost overall, I mean, they keep coming down by 80%, 90% on an annual basis across the world, right, both because models become more efficient themselves and because there's a lot of competition out there. So it's an item to keep track of, but it's not something that concerns us particularly, right? Yes. So Mortgages, I'll go to that one as well. So we are -- I think we talked a little bit about this before. So we have brokers on the platform, but it's a small part of what we do today. A lot of attention has been on the MIP product, building awareness with consumers seeing what that does and obviously deliver great results. What we did last year was prepared a little bit more to be able to scale the broker side of the business as opposed to one-to-one relationships with brokers because there's literally 5,000 of them in the U.K. And it's also really about looking at this as -- I think of this as an inevitable trajectory kind of thing. Because of who we are, the interest in properties, the fact that 2/3 of properties needs to be financed, us having some kind of service in this space makes sense and that's evidenced already. But it's a long-term thing to build. There's still awareness. They're still optimizing it. There's still -- we're still, but what we're trying to do again is build a better experience and an experience that doesn't exist anywhere else. That takes some optimization. It's 2% of our revenue today. We're happy with the growth, but there's going to be a test and learning as we go along with it and we're executing on it really well. So over time, there will be broker options as well. And it's about understanding the consumer. And again, because of all the consumers that we have, what's their mindset, right? Are they close to transaction or they're really out shopping and still want to get an affordability check. So segmenting that and dissecting and making very logical for them and, therefore, funnel them to different opportunities for financing is important. And that doesn't come just from saying we do one thing on the website, right? But again, fantastic opportunity going forward and lots of money in this space, and I think we have a real right to play.
Andrew Ross: Andrew Ross from Barclays. I've got 2 on AI. First one is about the conversational search you've rolled out on platform. What are you observing in terms of the conversion rate from search into leads or any kind of outcome-based metric that you track from and kind of what impact is it having on clicks on to featured and promoted listings as part of it? That's the first question. And then the second one is you guys have obviously applied to put an app into ChatGPT. Can you just give us some context as to what the thought process was as to why do that? On the one hand, you're kind of feeding the beast. On the other hand, first-mover advantage is where the users are. What were the kind of puts and takes? How are you thinking about it?
Johan Svanstrom: Yes. And so when it comes to conversational, again, I outlined a few stats, right? We -- because of our traffic and in spite of having it on a minority of that traffic already, we've seen thousands of conversations, lots of messages, very good flow-through in terms of people getting the results that they wanted and also, as expected, coming back over to the main site and digging around and using different tools and so forth. We have seen that uptick of about 3x the sort of lead sending propensity. But to be honest, is that cause a correlation? It could be the most qualified users that have been on Rightmove before and so forth. Or is it a novel way and, therefore, they become interested? I think it's too early to say. And anyone who talks about these data points, I think it's important to give that kind of context. Now again, I point back to this as an opportunity, right? The fact that how consumers experience the site and the listings and what they do with it? First of all, this is a first version of integration. And how partners show up in that? That will, of course, evolve over time, right? It depends on how much of a traction this will see from consumers, small minority or complement to -- for a lot of people to what they do, it's just simply too early to tell. But again, the opportunity, if you think about it, it's a much more personalized and engaged consumer in different ways doing this. And that further qualification of someone's behavior has value. So the fact that there's potentially new or, for sure, different commercial opportunity around this is also there and that goes through our heads, right? But it's early days. And the second one on ChatGPT, yes, I think you maybe outlined it well, puts and takes, consideration. Look, today, they're just -- they're meaningless in terms of a feed or a platform for people actually looking for and going after homes. So as we said, with those stats, right? And I think most of the peers report the same numbers, very, very small. But look, it is a tool that lots of people use for different things. So for us, this is a test-and-learn, right? We want to be where some consumers are and see what we can learn from that. And very importantly, of course, it's an app that we created. It basically displays listings and consumers then go back and do much more of the experience where they have all that experience and again, all the data and tools in their own history and so forth on Rightmove and that's what we expect going forward as well.
Andrew Ross: And you keep all the data, right?
Johan Svanstrom: Yes.
Joseph Barnet-Lamb: Joe Barnet-Lamb from UBS. Two for me. First one, a technical modeling one, but I think it's important for the interpretation of ARPA guidance. So historically, forecasting agency was simple as ARPA times by the average membership. But we now have a growing proportion of non-ARPA revenue within Agency. So can you just clarify which revenue streams within Agency are non-ARPA? How big they were in '25 and how you expect that to change into '26? Then the second question is just on buybacks. We see you're effectively restarting and spending excess capital generation beyond dividends and spending half of the GBP 40 million that you've accrued, whilst you weren't buying back. Can you just give a bit of color on why you aren't spending all of the excess cash to get you back down to 0? And a sort of general commentary on sort of the merits of running a net cash balance sheet given where your share price is?
Ruaridh Hook: Sure. Two for me. Yes, you're right. ARPA used to be much easier. You took kind of customer numbers, multiplied by ARPA and you got roughly our revenue number. There is a non-ARPA element, which is because we don't count agent accelerator in our ARPA calculation because it's a program rather than a package and also insurance revenue in the rental services part of the business because that's insurance to consumers and landlords. So therefore, it's not counted under the average ARPA. Those 2 together, used to be almost 0 a few years ago. Great to see them grow, and they're around about GBP 3 million. So that's what you should add on once you take your average ARPA times by your customer numbers. In terms of the share buybacks, great, we -- first thing to flag, we return all of our surplus cash to shareholders, and we don't see that changing. We've reduced our cash reserves from GBP 40 million to GBP 20 million, which we think is sufficient to run the business from a working capital perspective going forward. For those that have been with Rightmove for a long time, GBP 20 million was always the number that we used to have and feel very comfortable that, that's a manageable cash reserves for our working cap. So flag that. In terms of looking at debt for share buybacks, I think is what you're asking, we're not philosophical about no debt on the balance sheet. At the same time, we see there's many pros and cons of having no debt on the balance sheet. It's something that we continually evaluate and discuss with our advisers and with the Board. At the moment, we don't have plans to leverage up. But I would say, as always, nothing is off the table, and we'll continue to evaluate all of our options.
Joseph Barnet-Lamb: Just one follow-up maybe on Agent Accelerator -- on Agent Accelerator, obviously, with what we're seeing with new agent formation, is it fair to assume that the Agent Accelerator will grow faster in '26 than the average of Agency?
Ruaridh Hook: It's Agent Accelerator, low ARPA. So don't get too carried away. Great to see the agent formation come back. I wouldn't expect to see that continually rising given its record levels. So I'd just be cautious about that, but great to see that market open up.
Marcus Diebel: Marcus Diebel with JPMorgan. Johan, just one question again on investments. And clearly, we've seen '26 is going to be a peak year. Again, we're going to guide for like 3% to 5% operating profit growth. Given where the shares are and you're prioritizing, obviously, buybacks and those things, I mean, how critical is it really for you that '26 is really sort of a one-off in terms of operating profit growth and things bounce back relatively quickly, i.e., do you feel that some investments that you clearly had in mind are now a bit more put on hold longer term? Is that the case? Just a question for what is the mood? How critical is to see a meaningful margin bounce already in '27? And then the second question, just in general, because you touched on this value-accretive M&A. Are we then talking about sort of like investments in tech? Do you feel there are some tech assets out there that you should get to? Any comments would be interesting because it feels there won't be much. I just want to be really clear on this.
Johan Svanstrom: Yes, I'll have a go. Maybe, Rory, you can fill in. But look, we -- when it comes to the investments, right, as we outlined, and I say it again, we have a great foundation, a great tech platform. We're doing this because we think there's more opportunity in this market. We look at the U.K. property market, our position and what we can do together with others over the medium term. we want to step up that pace. That's what we're doing. And in terms of how that's shaped, we've guided to '26 and what that means on both revenue growth and operating profit growth. And we're not going down, as we said before, to be specific year-by-year. But of course, you can assume that the profit growth will start aligning more to the revenue top line in the years following, right? So that's kind of all we can say. And as usual, you look at the business and you look at the opportunities or sometimes challenges ahead and you adjust after that. But we're very happy with what we're doing right now and off to a great start with it. Secondly, on M&A and maybe value -- well, value creation and what kind of companies. Yes, I mean, look, there's always been a plethora of proptechs in the start-up space. And now many of them come with AI after them. So I can tell you in some conversations we've had with agents directly, some of them, of course, use AI already. It's like, "Hey, here's a quicker way to do admin or whatever it is." They're start seeing some of the AI-enabled products that we actually equipped them with, and they're also inundated, right? They get so many pitches from that dot AI and the other dot AI on an ongoing basis. So it's a little bit confusing. And as usual, there's a lot of promise. Again, as I said before, I mean, AI is one thing, right? You got to -- you actually got to build it on something. And it's a filter and automation tool, right? But it certainly doesn't provide the whole experience. So that doesn't mean that there aren't interesting companies, and we keep a good eye on them. We have conversations with several of them. But for now, our organic growth path and with the capability we have is clearly how we operate mainly.
Marcus Diebel: Maybe in this context, it's actually quite interesting. I mean, yes, we see a lot of start-ups approaching agents, very early, very small niche. But do you feel that the large players, the open AIs of the world also go directly to agents and asking them to upload and work closer together. Is there anything that you see you or hear?
Ruaridh Hook: Nothing, I would say, particularly on, let's say, the big LLMs from an enterprise perspective. And first of all, because our 16,000 memberships typically consist of very small, medium-sized businesses. But the fact, again, that many of them are interested in using tools, right, whether that's a free user or paying GBP 20 a month. And some of them are, of course, more advanced in trying to figure out what's happening either on their own or again, sold by someone else. But I don't think that's a particular thing that we see, no.
Annick Maas: Annick Mass from Bernstein. The first one is on ChatGPT, again. So can you tell us a bit more about how the user data is shared in between ChatGPT and youself? At what point do you get access to the user and actually can follow them around and actually can collect the data exclusively? And the second one is on Opti Edge. When agencies don't decide to upgrade, generally, why is that? Do they keep the money and they don't invest? Do they go for something else? Can you just tell us a bit through the challenges that you hear when you're meeting with agencies?
Johan Svanstrom: I'll take one. You can take two. Yes, so on ChatGPT, again, what we built is an app and it has an end point and it sits within -- or will sit within the ChatGPT environment, right? And what the consumer will experience is to be able to do conversations that -- and answers will come partly from ChatGPT. And in the case of serving up property listings that are relevant, that will come from us. And what I think others have reported and what you can expect, it's a fairly simple outline, right? Yes, it's possible to find our brand there. You can find it today, but now we can find it in a slightly more organized fashion. And consumers will be very encouraged and already know where to go and find the full experience. So that's kind of the outline right now. And that means that the really valuable aspects of data on how people navigate and what they've done before and what they want to do in the future will remain in the Rightmove platform. And of course, remember, again, we're building a conversational interface on Rightmove, right? People already have that habit loop. It's like, "Hey, I can do all of this conversation, including complementary information on Rightmove." So yet another reason, I think, to not worry too much about some other alternative universe being built out. But again, interesting enough to test it. That's the way we view it.
Ruaridh Hook: On Optimiser Edge, we actually don't want all customers on Optimiser Edge. We cater packages for all different types of customers and different types of businesses. And we want them to have choice and Optimiser Edge doesn't see all customers. low stock, low value, depending on where you are in the country, depending on competitiveness, funding, lots of different reasons. The strength of our account management team is knowing what products work for which customers. And the way that they start the conversation isn't about which package to be on, but which packages or which products are going to help you grow the business. And depending on that product mix is what then will generate a recommendation of which package to be on. And so for some, Essential is absolutely the right package to be on, and we don't expect them to move. Others, we'll see them move from Essential to Enhance to Opti and others will come straight in. And that was a little bit of what I wanted to show earlier was the variance of how we see the inbound into the Optimiser Edge package. The other stat I would flag is that over 50% of our customers are choosing to purchase products above their committed levels. So again, they can engage and see value in our product without having to move up the package ladder. So for us, it's about coming back to offering a plethora of different products that suit whatever needs a business has, but also fit whatever the property market is doing because the property market, as we all know, in the U.K. can change a lot. So we want products that suit them whatever is happening in the property market.
Sean Kealy: First question, Johan, I was really pleased to hear you describe ChatGPT is meaningless at the moment, given they're 0.5% of your referral traffic. First question from me, from both a technical and sort of market power point of view, if it came to it, would you have confidence in blocking LLMs, not just from scraping data for training, but also for the grounding process in search? And sort of what would be the puts and takes? And how would you look at that decision? And then secondly, where you've rolled out market capabilities, for example, in conversational search? Are you finding that the major LLMs are good enough off the shelf? Or are they requiring quite a bit of fine-tuning customization to work with the data that you've got and Rightmove effectively, only Rightmove has?
Johan Svanstrom: Got it. Yes. So look, on the first one, technically, you can choose to be in an environment and you can choose not to be in an environment. And so I think that option is already there. Again, it's an interesting environment to test and learning, probably very small meaning at the moment. It might grow, and then it will be relevant to be there. So we'll see how that goes over time, simply. But the optionality is absolutely there. I think on the conversational side that we've done ourselves. So again, we operated the current version with Gemini models from Google. And again, it has the benefit of -- it's all very tied up through our stack. But we have also built that capability to switch that out for literally any other large LLM. We have those relationships and conversations as well. So it's off the shelf in the sense that the general LLM is there. Now as you know, every week or 2 or whatever, there's another dot-something version coming out. And the 3 things that we optimize for is it's not just cost, right? Again, that's kind of a tailwind over time because it's going to continue to come down. But it's cost, it's quality and it's performance, right? Quality is very important. And performance as in speed and response rates. And already today and even as a consumer, at least if you pay, right, you can see for yourself how the models act a little bit differently. And of course, we have a fantastic platform and capability in the teams to judge these older things, right? So we built this stack where we can plug and play on the side and then we decide what we take live. And we run concurrent what's called evaluation models. So models that evaluate the models on an ongoing basis. So it will continue to go along that way simply. Then maybe the last point. Yes, of course, the generic LLM capability is one thing. The really interesting thing to create a fantastic experience and relevant experience for the consumers to combine it with the data that we have. And again, the more people actually use this and/or any other personalization features on our sites, the more tailor that experience can be. And a lot of that comes -- or the vast majority of that really comes from our own platform.
Giles Thorne: Giles Thorne from Jefferies. Back on Mortgages, please. The attributes, Johan, you used earlier to describe what pulled you towards NatWest, I'm pretty sure the things that were used to describe nationwide when the MIP product was first developed. So I'm still a little bit none-wiser as to what went wrong with the nationwide partnership and what NatWest now solves. So I wanted to push you on that a bit harder. And then the second thing still on Mortgages is just to hear your latest thinking on how you solve for the problem of the broker product only appearing after a failed MIP, if that's even still the case? So an update there.
Johan Svanstrom: Okay. Thank you. So I'll leave you to judge your own wiseness, Giles. But we've -- as I said before, we've had a great relationship with Nationwide and what we are looking at now, where are we now, what are our own plans, what have we learned from all the data. And we have selected NatWest as our partner going forward for what we think are really good reasons. And on the second question, yes, the broker path to a large extent has been -- because we have been focused so much on understanding the MIP path has been focused on, okay, who doesn't get a MIP for what reasons? And over time, of course, as I said before, we want to expand those choices for consumers through our segmentation, seeing what they do on the site and potentially what they are outright requesting. Some of that experimentation has been going on already, and that's going to continue in the future.
Giles Thorne: And just a follow-up. Where is the remortgaging product? I think that was due to be second half of '25 -- I forget the exact date, but I'm pretty sure we passed the original signal around when you're going to launch that.
Johan Svanstrom: No, it's launched. It's on the site. Again, it's not the main focus. Remember that we had a lot of first-time buyers, of course, on the site. And for lender partners, often, they want to try to get a hold of new customers. Now the remortgage product is absolutely there, has been there for a while. But it's sitting as we have said before, logically connected, so closer to the home valuation tools, for example, where people might be in that mode of, "Hey, I'm tracking the value of my property. That might be because I'm thinking about selling or I'm thinking about refinancing because I'm staying." So that's where that is. And again, over time, that's an opportunity to obviously build that out further, but it's going to come with -- in the right placements and as we see fit.
Ruaridh Hook: Great. Well, I think that's -- well, I'll squeeze you in, Andrew, last one.
Andrew Ross: So another on one AI and about kind of Agentic. And I appreciate there's a whole separate conversation about whether you'd actually want your personal agent to be searching for a house. But in a future world where that could be possible from a technology perspective, what's your view about whether you'd let agents be searching on your site, how you kind of set up the technology to do it? Do you let them call and do whatever they want on any sites? Do you make sure you have a commercial relationship where it has to be free your flow? Like how are you thinking about the Agentic journey?
Johan Svanstrom: Yes, a little bit, let's say, early, but clearly, the Agentic opportunity keeps growing. But again, I just -- what you said yourself, remember property, particularly. AI is a filter, an advanced form of a filter, humans make decisions, right? It goes for a lot of processes. So the level of filtering assistant, obviously taking out admin tasks and so forth, big opportunity in AI, but humans need to be in the loop still for a lot of things and even more so for other things, including this one. So we'll see how that evolves over time. I really can't talk to the technology of it or who we might have a relationship with. There are interesting precedents on Amazon shutting down. I think it was Perplexity's Agentic rolling around. I don't know where that sits, right? But it's something that we'll deal with over time, just like we deal with other opportunities.
Ruaridh Hook: I would say thank you all for your good questions today, and I wish you the best of the day.
Johan Svanstrom: Thanks, everyone.